Operator: Hello, everyone, and welcome to Bladex's First Quarter 2019 Conference Call on this 17th day of April 2019. This call is being recorded and is for investors and analysts only. If you are a member of the media, you are invited to listen only. Bladex has prepared a PowerPoint presentation to accompany their discussion. It is available through the webcast and on the bank's corporate website at www.bladex.com. Joining us today are Mr. Gabriel Tolchinsky, Chief Executive Officer; and Miss. Ana Graciela de Mendez, Chief Financial Officer. Their comments will be based on the earnings release, which was issued earlier today and is available on the corporate website. The following statement is made pursuant to the safe harbor for - and forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding Bladex's future results, plans and anticipated trends in markets affecting end results and financial conditions. These forward-looking statements are Bladex's expectations on the day of the initial broadcast of the conference call and Bladex does not undertake to update these expectations based on the subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in this communications. And with that, I am pleased to turn today's call over to Mr. Tolchinsky for the presentation. Please go ahead.
Gabriel Tolchinsky: Thank you, Carey. Good morning, everyone. Thank you for joining us today. Before Ana Graciela delves into key aspects of our earnings results for the first quarter, I would like to discuss with you the economic and business environment in Latin America, important developments that took place during the quarter and the impact of these developments on our perception of risk and on our financial results. During the last two quarters conference calls, we mentioned that the credit quality of our portfolio, cost structure and allowances for expected credited losses set the base to improve our earnings generation capacity. Our first quarter results are another step in that direction. On the economic and business environment front, we started the year with high expectations for Latin America's economic growth, only to slowly downgrade them as the quarter progressed. The larger context is not very helpful. The events that we have identified that's key for emerging markets Latin America and commodity related industries namely the effect of a strong U.S. dollar protectionist red - rhetoric on trade and tariffs and a slowdown of economic activity in China, Europe and the U.S. were not only prevalent but also intensified during the first quarter of 2019. Additionally, political and macroeconomic uncertainty also impacted overall growth prospects for key countries in Latin America. In terms of the global context after raising interest rates four times in 2018, responding to strong U.S. growth, low unemployment and core inflation readings above 2% the Federal Reserve switched to a neutral mode saying that the data are not currently sending a signal that we need to move in one direction or another. After a turbulent fourth quarter of 2018, the Fed's more dovish stance stabilized financial market conditions. The yield on the 10-year U.S. Treasury retreated to around 2.5% and equity markets rebounded. Nevertheless, as the significant deceleration in Europe and China continued to make the U.S. dollar attractive, leading to lower fund flows into emerging markets in general and Latin America in particular. The Fed was not alone in downgrading growth prospects. The World Bank and IMF seem to bring down growth expectations for 2019 and 2020 with every new report with trade tensions between the U.S. and China front of mind for their part in the intensifying macroeconomic, global risk and diminishing growth expectations. At the beginning of the year our expectations were for reduced strengthening pressures on the US dollar and improved fund flows to emerging markets, which coupled with some positive news from the region such as the election of a market friendly candidate in Brazil, approval of IMF programs in Argentina and Ecuador, passage of the fiscal reform bill in Costa Rica and the signing of the USMCA, the new NAFTA for Mexico, we believe set the stage for some growth out of the region for 2019. Although still subpar, we saw growth rates of 2% or slightly higher as achievable for Latin America. However, we no longer believe that's possible. Today, our growth expectations for Latin America for 2019 are between 1% and 1.5%. Brazil doesn't seem capable of generating growth rates above 2$. Mexico is now expected to grow about 1.6% and Argentina has little hope in 2019 of pulling out of its recession. Brazil, Mexico and Argentina represent in aggregate more than 70% of the GDP of the region. We needed to adjust the economic growth rate primarily for three reasons. One, the diminished prospect of trade volumes given the lower growth, the weight of lower growth rates from developed markets and three, uncertainty over the capacity of the current leadership in these countries to either survive politically in the case of Argentina, implement previously agreed reform in the case of Mexico or enact the necessary reforms in the case of Brazil. What does this all mean for us for Bladex? A macroeconomic context that offers no room for complacency. To summarize the specific risks we see, first, a slowdown in Latin America - in the Latin American economic activity, leading to lower demand for credit. Second, a more challenging political and economic environment for some key countries in the region increasing credit risk. And third, the prospect of declining trade volumes and other impacts from continuing trade tensions, reducing the need for financing of trade transactions. Against this backdrop as we analyze the risk reward function at the country level and see a dynamic picture of how our portfolio structure is evolving, we are actually very optimistic. Over 75% of Bladex's portfolio matures in less than one year. So we are in a privileged position to dynamically adjust exposures. In Brazil for example, we see fewer opportunities for reward to compensate for the prevailing political and economic risk. On the political front, although Jair Bolsonaro may introduce market-friendly fiscal reforms, Congress's appetite to pass pension legislation appears to be waning. Pension reform is the top priority for the economic team this year. But there is still no clear political strategy to secure a full approval for it in Congress. We also see the engines of growth for the Brazilian economy tied to internal demand, not to export industries. This is primarily the case because prices are still depressed for some key export soft commodities such as sugar and soybeans. Currently Brazil has access to a dollar liquidity. There is little demand or good credit risk available for these exporting industry thus depressing margins. As such, we expect our exposure to Brazil to decline and unless we can roll over maturing loans at margins that compensate us for those risk. In Argentina, another example, we see macro risk intensifying as we approach the August primary and October election. And although we have a solid and profitable portfolio of credits there, we are likely to adjust our exposure down as we get closer to those election date, and again, we are in a good position to do that with 63% of our Argentina loans maturing in 2019. On the positive front, we are pleased with Panama's upgrade from one of the major credit rating agencies, not only because Panama is our home, but also because it is an important exposure in our portfolio, one we intend to grow. We also see growth opportunities in the rest of Central America, in the Caribbean, in Columbia, Peru and in Chile. The first quarter of the year is seasonally slow for Latin America. Nevertheless, our book of business is solid. We are identifying new prospects, increasing share of wallet with our existing client base and structuring value-added transactions with key clients. Although our focus on high quality borrowers and present U.S. dollar liquidity in key markets puts pressure on our origination margins, Bladex's continues to originate medium term loans at higher lending spreads than mature loans, thereby improving overall margins. On the cost side, expenses for the quarter benefited somewhat from the seasonality effect. That said, we reiterate as per our last call that net of restructuring and other non-recurring charges, our current expenses continue to decline. As you'll hear from Ana Graciela, our credit impaired loans are unchanged from last quarter and no credits were added to our watchlist category. Our credit risk reserve coverage and Tier 1 capital ratio continues to be very strong and our book value remains solid above $25 per share. That is why our Board of Directors approved to maintain at $0.385 a share dividend. Against this backdrop, the management of Bladex, as well as its Board of Directors is cautiously optimistic for the remainder of 2019 and looks for a continuation of the profitability path we embarked on last quarter. With these initial comments, I will now turn the call over to our CFO, Ana Graciela to provide you with more details about our financial performance in Q1 2019.
Ana Graciela de Mendez: Thanks, Gabriel. Good morning and thank you for joining our conference call on the results for the first quarter of 2019. I will make reference to the presentation uploaded on our website. First, let me highlight on Page four the bank's first quarter 2019 profits for $21.2 million or $0.54 per share, representing a 47% increase with respect to the year before due to a 4% increase in revenue, a 31% reduction in operating expenses and lower credit provisions. On a quarter-over-quarter basis profits for the first quarter of 2019 were up by 2%, on the absence of losses of non-financial instrument and on seasonally lower operating expenses, while net interest income remained relatively stable. These effects were partly offset by lower fees and decreased loan balances due to seasonally lower first quarter activity and credit provisions for $0.9 million in the first quarter of 2019 compared to reversals in credit allowances for $1.3 million recorded in the fourth quarter of 2018. Quarterly profits continued on the positive trend from the previous quarter and represented the highest profit level in the last eight quarters. Our ROE and ROA were 8.6% and 1.3% respectively and our efficiency ratio improved to below 31% from 36% in 4Q 2018 and 47% in 3Q 2018, while we maintained a solid Tier 1 Basel III capital ratio at 20%. Now, I will refer to the evolution of net interest income and financial margins on pages five and six. Net interest income for the first quarter of 2019 increased 5% year-on-year to $28 million, mainly driven by a 6 basis point increase in net interest margin to 1.74%, as the bank benefited from the net positive effect of higher interest rate. Given the Bank's narrow interest rate GAAP structure, higher rates generally results in a net positive effect on the Bank's net interest margin. Net interest spread which excludes the effect of equity yield, decreased by 10 basis points year-on-year to 1.16%, as a result of lower net lending spreads, due to better quality loan origination, evidenced by increased lending to financial institutions, sovereign and quasi-sovereign entities and top tier exporters with U.S. dollar generation capacity. Net interest income remained stable on a quarter-on-quarter basis due to similar average loan balances and decreased lower yielding average liquid assets, which were above historical levels at year end of 2018 and return to more normalized levels in this past quarter. This change in asset composition positively impacted yields on financial assets, while net lending spreads which experienced a turning point during the fourth quarter of 2018 continued on a positive trend during the first quarter of 2019. As a result of these combined effect, net interest margin was up by 13 basis points and net interest spread also increased by 8 basis points during the first quarter of 2019 with respect to the fourth quarter of 2018. Loan portfolio average balances reached $5.6 billion, stable year-on-year, but down 3% quarter-on-quarter at $2.7 billion in new loans origination during the quarter was $300 million short of quarterly loan maturity. Now moving on to page seven. Fees and commissions were $2.4 million for the quarter, a 23% reduction year-on-year and a 56% decrease from 4Q 2018. Lower fees were attributable to seasonally slower letters of credit activity and the absence of syndicated transactions during the first quarter of 2019. Nonetheless, the Bank continues to see a good pipeline of transactions in both of these business lines. In the case of letters of credit, we are seeking opportunities in enhancing the Bank's participation in the trade supply chain, targeting to increase the Bank's intermediation in trade flows between Latin America and Asia, Europe and North America, as well as intra regionally. With respect to syndications, the Bank is looking to continue originating this transaction for clients looking to expand their cross-borders operations in Latin America, cementing Bladex as a relevant player in the syndications market in our region. Loan structuring fees from syndication activity on a twelve month rolling basis totaled $5 million, a similar amount recorded in last year 2018. Due to the uneven nature and transaction base of this business, it's more accurate to evaluate its performance on an annual, rather than on a quarterly basis. On pages eight and nine, with respect the composition of our commercial portfolio. Overall exposure to financial institutions, sovereign and quasi-sovereign represented 66% of total commercial portfolio as of March 31 2019. Financial institutions alone represent the largest industry exposure with a 55% share at quarter end. The only other industry with a higher than 5% exposure is the integrated oil and gas sector which accounted for 6% of total exposure as of March 31 2019. The bank participate in this sector mostly through sovereign and quasi-sovereign entities across the region. The remaining overall exposure is well diversified among several industry sectors. As Gary mentioned, in our continued efforts to balance risk and return and maintain a diversified portfolio we saw a quarter-on-quarter decrease in our exposure to Brazil which remains our largest country exposure at 18% of which 85% is with bank, sovereigns and quasi-sovereign. The average remaining tenure of this country's portfolio is approximately 12 months with 80% maturing in the next 12 months. We continue to closely monitor our exposure to Argentina and the potential impact from the upcoming Presidential election later this year, which we see as critical to the continuity of recently implemented economic reform and adherence to the IMF accord. During the quarter we experienced a quarter-on-quarter decrease in our exposure to Argentina to 9% and maintained a short term approach with strategic state entities and top tier international banks and exporting corporations. 69% of the portfolio in Argentina matures in the next 12 months and the average tenure of the portfolio is approximately 11 months. Our exposure in Mexico remains stable on nominal balances, accounting for 15% of the total portfolio, as we see good opportunities that fit into our risk-return framework. While we continue to follow the newly established governments approach to economic and trade policies and the potential impact on the business of our customer base, our exposure is focused in strategic state enterprises and private sector exporting cooperation's with participation in North American trade flows. We have successfully increased our portfolio quarter-on-quarter in markets that we want to expand, such as Columbia, Chile and Panama, as well as several countries in the Central American and the Caribbean region, while remaining cautious on Costa Rica as it starts to implement its long overdue and recently approved fiscal reform. Total commercial portfolio continued to be mostly short term with an average remaining tenure of close to 10 months and with 77% maturing in the next 12 months. 56% of the Bank's short term commercial portfolio is trade related. On Page 10, we present the evolution impaired loans or NPL and of allowances for credit losses. As Gabriel mentioned, our NPLs remained unchanged during the quarter at $65 million, representing 1.2% of loan with the reserve coverage of 1.6 times. During the quarter, the evolution of NPL restructuring performed on their own - our most likely scenario, and led to an increase in individually allocated credit allowances categorized as Stage 3 under accounting standards IFRS 9, now representing 83% of NPL balances. While we have no new loans in our watchlist categories - categorized as Stage 2, we did increase our exposure and allowances under these Stage 2 categories, as a result of internal counter reviews and outlook. All of the exposure in this category remains current. Our Stage 1 exposure and its associated credit allowances decreased on the account of lower portfolio origination relative to maturity, characteristic of the first quarter of the year and an improved composition of our commercial portfolio as highlighted earlier. These Stage 1 exposures which relates to the performing portfolio with credit conditions unchanged since origination continued to be the most relevant with 91% of total exposure at quarter end. On page 11, quarterly operating expenses of $9.9 million showed a 31% decrease year-on-year, mainly on the absence on non-recurring restructuring charges and on variable compensation expenses incurred last year. Quarter-on-quarter due to seasonal effect operating expenses decreased by 20%. Overall expense base continued to see a declining trend given the Bank's focus on improving its efficiency. In fact, the Bank's efficiency ratio for the first quarter of 2019 improved to 30.8% on lower expenses and high revenues year-on-year, in spite of a quarter-on-quarter decline in revenues. Now on page 12, I would like to summarize the key takeaways of the first quarter 2019 results. Quarterly profits were $21.1 million confirm positive trend and constitute the highest level in the last eight quarters. Quarterly results were achieved through stable net interest income on higher financial margins, coupled with improved efficiency on lower expense base despite seasonally lower fees and portfolio balances. Stable level of NPLs and of credit provisions, solid capitalization at 20.1% Tier 1 Basel III ratio with unchanged quarterly dividend at $0.385 per share, representing an attractive yield. I will now turn the call back to Gabriel to open the Q&A session. Thank you.
Gabriel Tolchinsky: Thank you, Ana Graciela. Carey, please open the session for the Q&A.
Operator: Yes, sir. [Operator Instructions] And our first question will be from Yuri Fernandes from JPMorgan.
Yuri Fernandes: Hi, gentlemen. Thanks for the very good explanations and congratulations on the quarter. Gabi you were super clear on the macro outlook, but regarding growth can you give us a bit more color on what you're expecting for loan growth this year? I understood like the outlook is not as - as bright as we were initially thinking at the beginning of the year. But do you expect to like - like loan growth to continue growing at those 5% yearly base to decelerate so this - decelerate from those levels? My first question is regarding this. And my second question, I think maybe it's more for Ana Graciela, it's regarding expenses, I recall that in the last year, in the first Q, you had some one-off event there, there were some restriction in the company, but I also recall that you booked most often the variable expenses remuneration in the first quarter and that was not the case during this quarter. So what should we expect for this variable remuneration, should these be deferred during the year? Should we expecting, I mean, like a comparison year-over-year for the coming quarters? Thank you.
Gabriel Tolchinsky: Thank you, Yuri. Thank you very much for your question. Let me first start with respect to loan growth. As you know, we don't provide forward-looking guidance, but it is still our expectations that our loan book will continue to grow. We are pointing at risks that have evolved from macro considerations which are very relevant to the way that we construct our portfolio. But overall our business continues to be very solid and we are very comfortable with the credits we underwrite, our credit underwriting methodology, and believe that we can still continue to grow under what we believe is the more challenging context. Now it's good to also compare some numbers, even though overall growth expectations have come down, we are looking to focus on countries that do have very reasonable growth prospects. We mentioned that we intend to grow in Panama, in Chile, in Peru, in Columbia and the growth rates in those countries, some of them are quite significant. The - I believe Economist Intelligence Unit has Panama growing at around 6% for 2019. That's a quite a significant growth rate. And when we look at credit demand we see similar type of growth out of Panama. Chile is expected to grow at around 3.4%. But in terms of credit demands we expect around a 6% growth there. Similar numbers for both Peru and Columbia. So even though we see and we're very cognizant of the headwinds that are coming from the macro environment, the underlying elements of our business and how we approach it continue to be positive. So I hope that answers your question.
Ana Graciela de Mendez: Okay. Thank you. Sorry, go ahead.
Yuri Fernandes: No, no, I was just saying yes. Thank you.
Ana Graciela de Mendez: Okay. Well, thank you for your questions, Yuri. And yes, with respect to expenses, you remember correctly, we recorded - we're close to $5 million of non-recurring expense in the first quarter of 2018. A lot of it was due to variable compensation. That was really particular - a particular point in time given the banks result. But we usually do provisions on a deferred basis over the year and we started to do that again this year. So you shouldn't see with respect to variable compensation any increases going forward. We already have accounted for some of that in this quarter and we see that as stable. As I also mentioned during the last quarters call, that we saw a recurring base of expenses around $46 million per year. We're still targeting on that amount. Hopefully a little lower than that. But that remains pretty much the case. And that - you know, to highlight also that this - in this quarter we reported close to $10 million is usually lower as well.
Yuri Fernandes: Thank you very much, Ana Graciela.
Ana Graciela de Mendez: You're welcome.
Operator: Thank you. Our next question will be from Robert Tate with Global Rational Capital.
Robert Tate: Hello. Hi, Gabriel. Ana, thank you very much for the business [ph] obviously. It's been very good and in fact I'm just looking at your net interest margins and equity ratio, the result has been very effective, but the return on equity is not much higher than the last quarter despite the improvements in net interest margin and efficiency ratio. Is that because of the higher capital ratio and the possibly lower fee income?
Gabriel Tolchinsky: Thank you very much Robert for your question. I think that you are correct that was part of the reason we did not have - we did not report higher results, but it's also very consistent with a normal seasonality that - that we have in the business. We are a bank that focuses in Latin America. The entirety of South America is essentially on vacation the first quarter and there is a usual seasonality effect. So it would be hard to extrapolate loan growth, and overall the generation - fee generation capacity from the first quarter. That's why Ana Graciela was referring to the 12 month trend and we continue to see a very good pipeline of transactions in the syndication and structuring business.
Robert Tate: Okay. Thank you. And then also just the following question, in the past you've mentioned the decision to increase loan maturity - average loan maturities, I guess to seek higher yield from very secure loans, lower-risk loans. And was just wondering what's the progress is on that in light of the current economic environment? And then also whether ultimately your return on equity of around 10% is achievable in 2019 given the unique environment that you're currently facing?
Gabriel Tolchinsky: Okay. Thank you again Robert. The bank focuses on two main business lines, trade finance and Latin American integration and as Ana Graciela explained there is a lot of - we see a lot of opportunity in companies trying to establish themselves or grow within the region and set up operation in different countries in order to better be within the supply chain and the trade value chain. And for those companies we will be looking to do and are looking to do medium term type lending and those loans do carry a better margin for the term. We continue to have a portfolio that is relatively short term as trade finance is still very much a core element and we'll continue to be a core element of the bank on a go forward basis. So we do expect our the average life of our portfolio to be some more in the one year range, maybe a month or two below that or a month or two above that, but that is the - in general terms what we expect from our overall portfolio. Now that said, we see a lot of opportunities because we do see clients trying to establish operations and getting closer to the market that they're trying to reach. And given that seasonally low quarter we don't see what has happened in the four - in the first quarter as an indication of what's going to happen in the rest of the year and feel very comfortable on our pipeline of transactions on a go forward basis. Has that answered your question?
Robert Tate: Yes. Thank you. And then just I guess the last part of that question was just, I guess whether you know, return on equity obtained overall is still achievable in this environment? Or whether it's unachievable? Or - yeah, I'll leave it up to you.
Gabriel Tolchinsky: Of course, our goal is to get to double digits ROE, that continues to be our goal and that's what the bank believes that's achievable with our business model and our penetration in the region. If those things take time we are going in the right direction and believe that we've taken THE steps to continue to go in that positive direction.
Robert Tate: Okay. Thank you very much. And then just one final question. The impairments of the loan in the sugar industry that led I think in the third quarter of last year, I think that was led by 75%. And I was just wondering if there's any more developments on that figure alone. And what proportion of the - of the remaining unimpaired you know, proportion of that loan - you know, what - how big is that relative to your equity value?
Gabriel Tolchinsky: We don't talk about specific loans. But I will say that our overall coverage of problem loans is 80%, actually a little slightly higher and our overall NPL exposure is $63 million, so $64 million. So just - you know, you can do more or less the math with respect to that. But it's - we believe that we are very well covered for the restructurings that are - in our problem loan portfolio.
Ana Graciela de Mendez: If I may add, that 80% coverage that Gabriel mentioned is individually allocated, but if you look at the overall reserves, credit reserves, they cover 1.36 times these credit impaired loans. So again, yeah, very well covered in that respect.
Robert Tate: Okay. Thank you very much, Gabriel. Thank you so much, Ana.
Ana Graciela de Mendez: Yeah, Robert.
Operator: [Operator Instructions] All right. I'm showing no further questions in the queue at this time.
Gabriel Tolchinsky: Thank you very much for joining us today. We look forward to talking to you when we report our results for the second quarter of 2019. Until then, thank you again and good-bye.
Ana Graciela de Mendez: Good-bye.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may now disconnect.